Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.: 
Operator: 00:04 Good morning, ladies and gentlemen. Welcome to the Galp's Third Quarter twenty twenty one Results Presentation. 00:11 I will now pass the floor to Mr. Otelo Ruivo, Head of Investor Relations.
Otelo Ruivo: 00:18 Good morning and welcome to Galp’s third quarter and nine months twenty twenty one results presentation. I would like to thank you for joining us today and wish that you are all in good health. 00:30 Today, Andy will provide an overview of the quarter performance and key strategic developments as well as an updated guidance for the full year. Filipe will then take us through the quarter financial results. At the end, we are happy to take your question where Andy and Filipe will be joined by the remaining members of the Executive Comity. If you want to participate, please follow the operator's instruction at the end of the call. 00:57 As usual, I would like to remind you that we'll be making forward-looking statements, that refer to our estimates and actual results may differ due to factors included in the cautionary statement at the beginning of our presentation, which we advise you to read. 01:15 I will hand over to Andy.
Andy Brown: 01:18 Good morning, ladies and gentlemen. Galp's Q3 operational results were robust, capturing the improved macro, namely higher Brent prices and improved refining margins. We delivered over six hundred million euro of consolidated EBITDA, already at pre-COVID levels. On top of this, we now have a renewable business not consolidated, but fully capturing improved market conditions, delivering twenty eight million euro of pro forma EBITDA in the quarter. 01:53 We also generated a healthy operating cash flow of four hundred and sixty eight million euro. Therefore, a robust contribution despite some operational challenges. However, our free cash generation reflected the temporary effect related with our gas hedging strategy and a significant spike in gas prices during the period. Due to this effect, as well as the interim dividend of two hundred million euro paid to shareholders during the period meant our net debt increased to two billion euro. 02:29 This puts us slightly above our targeted net debt to o EBITDA ratio of one. However, we're expecting further deleverage through Q4 and confident that the dividend variable component will be distributed and I'll cover that again later in this call. 02:47 In addition to the actual Q3 financial numbers, we also made progress towards executing our strategy to create a more sustainable company. Finally, I'm happy to see the external recognition of our strategy with Galp recurrently holding leading positions on the relevant ESG rankings, acknowledged further by the seven hundred million euro lending we have secured from EIB. 03:16 Now, let's look at the businesses in more detail. During the period, we have seen some operational improvements in upstream, namely [indiscernible] in Brazil, leading to a stronger oil output welcomed at a time of high oil prices. However, due to some maintenance activities on gas exports, overall oil and gas production was flat quarter-on-quarter. 03:40 During the quarter, the largest FPSO so far in production in Brazil was started up on the Sepia field. Petrobras' delivery of the FPSO in these difficult times is to be commended. Although, a small production contribution to Galp in the period, the production rate from the one well hooked up is prolific, boding well for the full potential of the field. 04:04 The FPSO in Atapu is also now producing at high levels, close to plateau production with only four wells connected. The Brazilian pre-salt continues to be an amazing story with new wells demonstrating high productivities and strong reservoir potential. 04:24 The improved operational conditions will allow us to resume some inspection and maintenance activities and through Q4, we hope to see progress on working through the maintenance backlog. We remain confident on the full-year production guidance updated last quarter at one hundred twenty five thousand to one hundred thirty thousand barrels oil equivalent per day. 04:48 Going forward, we expect the business to maintain its strong cash delivery, with disciplined approach to CapEx focused on key attractive low carbon developments, such as Bacalhau, a project which continues to progress well. Coral FLNG from Mozambique also progresses well and is on track for first gas during twenty twenty two with sail away from Korea expected during Q4. 05:16 On the exploration of front, we are keenly anticipating key wells in the Campos Basin in Brazil and in Sao Tome and Principe to be spudded later this year and early next year. 05:31 On the industrial side, refining margins have now recovered from the weak environment throughout twenty twenty and early twenty twenty one. They are up seventy percent quarter-on-quarter to four dollars per barrel, supported by an increase of middle distillate and gasoline cracks during the quarter. This refinery margin includes all energy costs such as natural gas and electricity and any CO2 licenses we may need to acquire. On top of this, we are seeing Galp's refining much October to-date at above Q3 levels, at around five dollar a barrel. However, we need to report that we will see some production limitations during this quarter. 06:18 As announced a few days ago, there was an unplanned event in one of the two furnaces of the Sines Atmospheric Distillation Unit. There were no injuries, but it led to a temporary stoppage of the unit. However, during the rest of Q4, the throughput of the distillation unit will be restricted while repairs are completed on impacting furnace. We expect the issue to be fully resolved during this quarter. 06:47 In addition, we have a planned maintenance in the hydrocracker which will start this week and should last around twenty days. Considering these operational limitations for Q4, we expect throughputs of fifteen million tonnes, about thirty percent down quarter-on-quarter, while realized refining margins should stand at four dollar to five dollar a barrel. 07:11 On energy management, this was a weak quarter, impacted firstly by the extra costs related to the access to the LNG regasification terminal Portugal. These extra costs are now no longer charged from Q4 onwards. Also, we've been impacted by negative effects by the oil products supply pricing lag resulting from the commodity price increase during the period. But most importantly, by unplanned natural gas sourcing restrictions related to our long-term suppliers, which obligied us to acquire some volumes at expensive spot conditions. 07:50 All in all, energy management contribution was negative in the quarter and going into Q4, we're assessing with our main suppliers any potential deviations from the planned deliveries given the cost of securing alternative supplies. And we are preparing contingency plans to mitigate any potential shortfalls. Clearly shortfalls could have an impact on our operations and results. And in such cases, we may continue to see some weaknesses on the energy management contribution. Therefore, unfortunately, Q4 for industrial energy management may not be stronger than Q3. 08:27 Looking further ahead, we should have our Finnish refining system operating in normal conditions by the end of this year, and I'm confident on the work we're doing on our gas trading strategy to allow some more flexibility and increased contributions from twenty twenty two onwards. 08:46 In commercial, Mobility in Iberia is recovering with an oil product sales increasing both in B2B and B2C segments, but still some twenty percent below pre-COVID levels. Our results show this progressive positive trend where B2C has been recovering faster, but we now will see some positive signs in B2B, but aviation and marine segments do still remain weak. 09:15 At the same time, we're taking steps to transform this business to DAPT to consumer needs efforts to extract more from non-fuel have been proving successful and our convenience retail is already delivering at pre-COVID levels, and today represent over twenty percent of the commercial contribution margin, which is up five percent on twenty nineteen. We are progressively increasing convenience sale and expect continued contribution to more than double by twenty twenty five. 09:49 In renewables, our production is sold under strong merchant conditions and our generation capacity could have been higher this quarter. However, four plants have been restricted due to an issue with one transformer and we've been implementing mitigations with some of the two hundred megawatts of impacted electricity and we hope to get back to full operation in early twenty twenty two. But in addition, we plan to bring online an additional two thirty six megawatts of solar projects by year end. Meanwhile, we are executing our strategy and progressing with our renewable expansion inside and outside Iberia. 10:34 In Q3, we acquired additional solar capacity in Spain of two twenty megawatt, and last week we announced an important step in our renewable venture in Brazil where we acquired six hundred megawatts of solar capacity of high quality project in a pre-construction stage. The acquisition cost in Brazil were not material. Further payments, however, will be made, but only when the projects hit specific development milestones. These projects are expected to be online before twenty twenty five. 11:09 This is a clear step forward for Galp in a country where we've been present for over twenty years. And we've recently reinforced our renewables team in Brazil, a country which offers an opportunity to develop profitable renewable power generation platform. But we will maintain our discipline. 11:29 Entering in early at pre-construction stage and creating value by building up a portfolio from there. Our energy management team will be fundamental to capture market dynamic opportunities, monitoring the market developments and evaluative the best way to sell our power generation with a mix of PPAs and merchant exposure. These acquisitions positions Galp with a four point seven gigawatt portfolio with projects both under operation, development, and construction. This puts us in a strong position to at least meet our twenty twenty five goal of having over four gigawatts operating and well positioned for the twelve gigawatts ambitions we have for twenty twenty five. 12:15 Thriving through the energy transition is not just about renewable capacity, but also about developing low carbon businesses and making sure we have access to finance structures that provide us an efficient capital structure to develop these projects. So what are we doing on this front? In early August, we launched a pilot of a new convenience concept store in Portugal with no fuel offering, and in Spain we have upgraded around thirty five stores, which are also showing strong results. 12:49 We are also proceeding with our electrification plans having acquired in the quarter two hundred eighty EV charging points across Iberia and we will end the year with over one thousand points, more than doubling since last year and step further to reach the company's ambition by twenty twenty five. 13:10 On New Energies green hydrogen plants are becoming real, currently developing a two megawatt pilot with FID expected by year-end. This will accelerate our learning curve before the larger capacity electrolyzers get closer to reality. And we are advancing simultaneous with two projects of one hundred megawatt each, one by ourselves and the other one in a consortium. 13:36 On another front, we are thrilled to have secured access to funding to our low to no carbon projects via prestige entity like the European Investment Bank. This includes an up to seven hundred and fifty million euro to finance solar PV projects in Portugal and Spain, as well as the roll out of five hundred and fifty thousand EV charging points across Iberia. 14:04 We have also secured project finance for fifty megawatt project in Spain operating in full merchant conditions. All our operating projects in Spain have now been project financed, all with debt levels above seventy percent. 14:22 Looking at twenty twenty one overall, considering the status of operations and adjusting to the short-term macro outlook, assuming a seventy dollar Brent for the year, we estimate now full year EBITDA and adjusted operating cash flow to stand above two point three billion euro and one point eight billion euro, respectively. 14:45 While on the operational side, commercial and industrial energy management should stand below the estimates we provided last June on the back of slower anticipated Iberian demand recovery and restrictions in energy management. But upstream and renewables will benefit from higher oil, gas and power prices. 15:09 Our CFFO non-adjusted operating cash flow is predicted to have a four hundred million euro difference to our adjusted operating cash flow. This impact is mostly driven by hedging strategy to protect the commodities price risk related with our gas sourcing and supply activities. 15:29 In the recent months, we saw an increase in margin deposits related with future contracts as a result of the unexpected significant spike on gas prices. This impact drives mostly from contracts that will end in twenty twenty two when the supplies are delivered to the customers. Therefore, going forward, we will see cash inflows yielding CFFO levels above the OCF, either when we make these gas deliveries or when gas prices adjust downwards. Filipe will elaborate a bit more on this later. 16:06 But let me reinforce, despite currently materially impacting our CFFO and net debt, this is a temporary effect, one that will be reverted on the short term during twenty twenty two. We are aware this may impact our shareholder distributions framework. We will need to monitor how gas prices evolve and what will be effects on our financials be at year-end. By then, we will take a view if some adjustments to the dividend framework should be considered when proposing our twenty twenty one distributions, given the one-off and temporary nature of this impact. 16:50 Lastly, on net CapEx, we are now estimating at the year-end to be at the lower half of the previously provided guidance so to stay within zero point five billion euro and zero point six billion euro, demonstrating our continued capital discipline. 17:08 So to wrap up, this quarter benefited from the more supportive macro and we continued seeing positive signs of recovery and a strong commodity price environment ahead. This environment is causing some temporary impacts on our cash delivery, but as I mentioned, these are temporary and will revert. 17:29 More importantly, looking further ahead, we are starting to show clear and important signs of strategy execution, both around our legacy businesses growth and transformation, but also around expanding our renewables footprint and moving of forward new businesses. Our operational momentum has room for improvement and I'm confident we will see a turnaround, allow us to deliver even stronger results. 17:59 Finally, a relevant part of our investment case is to maintain a competitive shareholder remuneration. We are conscious that our shareholders deserve to be rewarded in such a strong macro environment. Therefore, we are monitoring very closely the evolution of the lines impacting our net debt and CFFO and confident that we will be able to recommend a variable component related with twenty twenty one. 18:30 Now over to Filipe to look more deeply at the financials.
Filipe Crisostomo Silva: 18:38 Thank you, Andy, and good morning, everyone. I’m on Slide twelve, where we have the upstream EBITDA of five hundred and twenty two million euro, which clearly benefited from the rise in Brent prices even if we did continue to see below average premiums on the cargoes we sold to Asia. And this comes from China restrictions on some local importers and regional crudes being priced more competitively versus Brent. 19:15 Our oil and gas realizations versus Brent were also affected by the cap, we have for now on our Brazilian associated gas sales. So the current gas price formula is capped at fifty five dollar Brent. Upstream CapEx was one hundred and eighty seven million euro and this went primarily to our pre-sold developments, namely Tupi and Bacalhau and Coral in Mozambique. 19:49 The CapEx line this quarter also includes thirty four million euro payment for the acquisition of a stake in BM-S-8. This increases the Galp stake from fourteen percent to twenty percent back in twenty seventeen. And the payments were contingent on certain milestones and a final one should be distributed in Q4 or early Q1 next year of about forty million dollars to fifty million dollars. 20:21 Commercial EBITDA was eighty seven million euro in the quarter. Now this with seasonal quarter-on-quarter higher oil product sales and the gradual easing of lockdown measures. Still, commercial EBITDA was down year-on-year as the margin environment is been pressured by the current much higher commodity prices. 20:50 Industrial and Energy Management's EBITDA was only fifteen million euro, that's down thirty five million euro from the previous quarter. The Sines refinery had a healthy contribution with realized margin of four dollar per barrel and cost of one point five dollar per barrel. Energy Management, however, saw gas sourcing restrictions, leading to spot purchases to comply with our commitments with clients. 21:22 Also, as we had flagged before, the increased regasification costs in Portugal impacted EBITDA with about ten million euro during this quarter. In oil products, the rapid commodity price increases that we're seeing in the period has caused negative price lag effect under the formulas we have established with our clients. 21:51 Industrial and Energy Management's operating cash flow includes the contribution from associated companies such as the Galp stakes in the international pipelines, which bring the gas from Algeria through Morocco and Spain. Now, after some twenty five years invested in those assets, these concessions will end this month. So, we will now bring the Algerian gas through the Med gas pipeline where we are not an investor. 22:27 On renewables, you know we don't consolidate this business. So what we show here are pro forma numbers and the pro forma EBITDA was a very healthy twenty eight million euro in the quarter. Now, we do continue to see significant supply chain and permitting challenges to develop and build the renewable projects in Iberia at the speed we wanted, but we remain committed to deploy the ambitious pipeline of projects and grow the installed capacity. 23:07 So, short term, we have over two hundred megas of new build capacity coming online by year-end. This is most welcomed in this environment. And in addition, we should also see the transformer issue resolve shortly. And this has kept about two hundred megawatts offline. 23:32 On Slide thirteen, here we have the P&L where you see the EBITDA of six hundred and seven million euro in the quarter and EBIT follows this in tandem. Associates were up two, mainly from the increased net income from our solar JVs. Net income was one hundred and sixty one million euro under RCA. Now under IFRS, net income was negative three hundred and thirty four million euro, driven by the negative five hundred and forty five million dollars in special items and this comes mainly from the mark-to-market of our hedging positions. 24:19 Now these price protection contracts do not qualify under IFRS hedge accounting rules so we need to take this volatility through the P&L as opposed to equity. So throughout twenty twenty two, the revenues we generate from the gas volumes that underlie these derivatives will compensate these mark-to-market variations, as it is designed to. So the hedges are made to reduce our economic risks, so no worries here other than -- and welcome temporary volatility. 25:03 The cash flow on Slide fourteen, you see we have strong operating cash flow of four hundred and sixty eight million euro. Now, CFFO is affected by the working capital build, resulting from the margin deposits to cover the exchange traded derivative positions. 25:27 And maybe, Otelo, I should spend a minute on this derivative and margin deposit topic. So, in the P&L we have the mark-to-market of the entire derivative book. And in the cash flow statement, we have the cash that we need to post as collateral with the exchange. The number is quite high this quarter, three hundred and seventy three million euro and four hundred and forty four million euro for the full nine months. And this is a reflection of how much gas prices have gone up. 26:04 And why do we enter into a derivatives in the first place? So, we buy gas from our suppliers and we sell the gas to clients. And the business model is to make a commercial margin between the two. However, the gas that we buy is mainly priced off Brent and our sales, say, to industrial clients are normally TTF linked. So we, therefore, protect the basis risk of the price of what we buy and what we sell through the derivative market. 26:43 So effectively, the gains that we could have made from the recent sharp increase in TTF versus Brent, those gains are neutralized by the derivatives. So if you exclude these derivative margin accounts, which are temporarily, the free cash flow was a healthy two hundred and sixty million in the third quarter. 27:12 This is all from my side, Otelo. We will now take your questions. Thank you.
Operator: 27:24 [Operator Instructions] Your first question comes from the line of Biraj Borkhataria from RBC. Please ask your question.
Biraj Borkhataria: 28:06 Hi, there. Thanks for taking my questions. Apologize I cut off, so this might have already been covered, but two questions. The first one is on the shareholder distributions. You mentioned a number of times about the temporary nature of the margin impact. So, as we're thinking about your full-year dividend, is it fair to just strip that number out and then run the calculation on that CFFO number? 28:26 And then the second question is on what you mentioned on gas sourcing. You highlighted some contingency plans for gas sourcing in the fourth quarter. I was wondering what exactly that would entail. Thank you.
Andy Brown: 28:45 Thanks, Biraj, and then thanks for your question. Look, I have to say that we have set up to now that we're just going to do a mathematic calculation on the supplementary dividend and we will do a mathematical calculation on that. And depending on that working capital build, we'll see what that yield is. What I think we're saying here is that will be -- we've agreed with the Board that there may well be a discretionary element that we will add to that. I can't tell you today how that will be calculated or what that will be, Biraj. But I think what we're indicating here is that we think this is very much a one-off issue and the shareholders shouldn't be penalized for it. So more to come on that one. 29:24 On the gas sourcing, I think this is about -- we are having some issues with our gas supplies and with the current gas markets, as you might imagine, replacing and buying new cargoes can be really expensive. So we're very much looking at this at the demand side of that and seeing what we can do to reduce our own use as well, to be honest, Biraj, and to see how we can mitigate any potential sourcing constraints we get in the quarter. So we're turning every stone and would be very reluctant to go and buy new volumes at the kinds of spot prices we're seeing today, to be honest with you.
Biraj Borkhataria: 30:07 Okay. Thank you.
Operator: 30:09 Your next question comes from the line of Alessandro Pozzi from Mediobanca. Please ask your question.
Alessandro Pozzi: 30:16 Hi, good afternoon. Thank you for taking my questions. The first one is on the upstream guidance. I believe, in Q2, you mentioned you would have been at bottom end of the guide -- of the range for twenty twenty one, but you maintain it. And I was wondering how should we think about maybe the exit rate in Q4 and maybe if you can give us maybe some key dates for twenty twenty two? I believe, the start-up, of course, is one of them and maybe if you can give us an update on that one as well. That's my first question.
Andy Brown: 30:54 I think -- thank you, Alessandro, for your question. I think I'll hand over to Thore to talk about the upstream position.
Thore Kristiansen: 31:01 Thank you, Andy. So with respect to the upstream production and the guidance for the fourth quarter, I think you can expect the production that is very similar to the ones that you have seen in the third quarter. That's our key guidance to you. With respect to twenty twenty two, that's a bit early. Let's revert to twenty twenty two at the Capital Markets Day when we have consolidated all our numbers and analyses for next year. 31:24 With respect to Coral, the project is going extremely well and it -- now it's very visible that we will have a sail away from Korea in the middle of November, then its sails to Mozambique for the offshore commissioning and in our plans, we have first gas in the second half of twenty twenty two. Thank you.
Alessandro Pozzi: 31:53 Okay, thank you. The second question on renewables. I think part of your strategy is to farm down some of your positions in certain assets and given the spike in electricity prices, do you think this is potentially happening sooner rather than later? And, yeah, in general, I was wondering if you can give us an update on potential disposal opportunities there.
Andy Brown: 32:23 [indiscernible] Thank you for your comment. I mean, what I'd like to just say is that what we're doing is we're building portfolio. We talked about four point seven gigawatts. We're continuing to build the portfolio to give us more options to make sure we are delivering the gross capacity of the four gigawatts. 32:46 In terms of our sell-down strategy, clearly, we haven't yet got firm plans of when we're going to kick that process off. We are diversifying the countries we are working in, with our announcement now, we're moving into Brazil. But there will be a moment when we will both look at some sell downs, particularly when we derisk the projects, but also what -- look at what timing we would take some more PPAs, because we are entirely merchants at the moment, which is obviously good with the current prices. But over time, I think we will want to position more in the long-term markets. But, no, nothing definitive to say at the moment. So thank you for that.
Alessandro Pozzi: 33:40 Just a follow-up on Brazil, do you expect to sign PPA for the new asset?
Andy Brown: 33:48 Yes, I mean, Brazil has quite attractive index-linked, both public -- so both open commercial and government PPAs that we can take part in, but it also has a very attractive merchant market at the moment. We probably will plan to do a bit of both, to get a strong underpinning for the project, but then to enjoy some of the upside in the merchant market. At the moment, in Brazil, there has been quite a significant drought, which is putting some distress into the electricity system. And therefore, I think there will be a -- it will be very welcome for us to build some more renewable capacity there and take part in the electricity growth that they are seeing in that country. I think they have an ambition for something like forty gigawatts of renewable capacity by twenty thirty, so a very attractive market for us to participate in.
Alessandro Pozzi: 34:50 Thank you
Operator: 34:52 Your next question comes from the line of Michael Alsford from Citi. Please ask your question.
Michael Alsford: 34:59 Thank you. Good afternoon. I've got a couple. Just firstly on the upstream. I was wondering whether you could update us on when we might expect a new development plan for Tupi, which could help offset the declines that we're going to see from the field, I guess, in the next year or so. 35:13 And then secondly, just a follow-up on the gas sourcing question from earlier. I appreciate you're looking at mitigating the cost impact of the gas sourcing in 4Q, but I don't know if you could maybe look out a little more into twenty twenty two and why did we not still see, I guess, a headwind around the costs associated with buying that gas for more of a medium-term impact on the business in energy management. Thank you.
Andy Brown: 35:43 So, firstly, can I ask Thore to talk about the [indiscernible] for Tupi. Thore?
Thore Kristiansen: 35:48 Thank you, Andy. So the work with the new plan for operation and development on Tupi and Iracema is actually going really well and the partnership, it is significant work already done. I think the document is now in the order of around nine hundred pages. The expectation and the full intention from the partnership is to deliver this plant to ANP by the end of this year. So that's the forecast and the plant seems to be being robust. Thank you.
Andy Brown: 36:19 Yes. So on the gas sourcing, kind of early to talk too much about twenty twenty two. Clearly, we want to build more flexibility into our position in terms of -- I think, for us the lessons learned a bit, we did hedge one hundred percent of the volume. And I think going forward, we're going to have to look to give ourselves a bit more flex if we do have supply restrictions. I'm quite optimistic about the long-term. We've got Venture LNG coming in twenty twenty three. I mean, I think we can position that in the market hopefully in a strong profitable basis. 37:00 So, no specific guidance on twenty twenty two. The only thing I can say is, we have secured the regasification here in Portugal without the premium that we paid up to the end of Q3. So going through twenty twenty two, we will still enjoy a lower cost of reclassification of the LNG that is delivered. But I think we've now got a much better handle on our ability to respond to any supply shortfalls, particularly looking at some of our own use and how we can build more flexibility in that balance over time.
Michael Alsford: 37:37 Great. Thanks, Andy. And just a follow-up on Thore's point on the field development plan in Tupi. Is there a prerequisite that you need to get a license extension? And if that is the case, how is that going in terms of that negotiation? Thank you.
Thore Kristiansen: 37:54 Thank you, Michael. Without going into too much detail on this, Michael, but you can expect that we will have several elements into this plan and some of the elements in the plan will also then be requiring license extension, correct? So this we are expecting that there will be some discussions going in before the whole plan is firm. We are looking for twenty year plus extension on the field life actually. Thank you.
Michael Alsford: 38:26 Okay. Thank you.
Operator: 38:30 Your next question comes from the line of Sasikanth Chilukuru from Morgan Stanley. Please ask your question.
Sasikanth Chilukuru: 38:39 Hi, thanks for taking my questions. I had two, please. The first one was related to Brazil production. Last quarter you talked about preventing maintenance impacting production uplift in the second half of twenty twenty one. I just wanted to check if you could comment on the progress here. Is the maintenance activity completed in 3Q or is it still persisting into the fourth quarter? 39:02 The second one was related to your shareholder distribution policy. Again, last quarter you mentioned that you are reviewing the option of using buybacks. I was just wondering if you have reached a decision on that or will we see the incremental -- the increase in the shareholder distribution all reflected in the additional dividend? Thanks.
Andy Brown: 39:24 Let me just start with the second. What I have said and what we are doing is looking at -- and consulting with shareholders around buybacks versus cash dividends and that work is still ongoing. So I have nothing to report on that at this stage. But just to reaffirm, we're looking and consulting with various shareholders about that. 39:51 On the Brazil production, I'll hand over to Thore in a second. I think one of the difficulties that we've had and actually we see this in other parts of the world as well where through COVID, clearly there was a maintenance backlog increase, but also a delay in hooking up wells, a delay in doing workovers. And so I don't think this is constrained just to Brazil. But Thore, anything more to add on the normalization of the situation in Brazil?
Thore Kristiansen: 40:26 So, Sasi, we are moving in the right direction, still however being constrained. Just to give you a sort of one indicator. And while the POB was restricted around sixty percent of the capacity, it has now increased a bit. So we are around eighty percent of POB capacity on the different installation. So we have more hands on the deck to work with the backlog. It's not being worked systematically and we expect that there is two units that is scheduled for maintenance in the fourth quarter of this year. So it is picking up, but there is a backlog and that will take some time to be sorted out. Thank you.
Sasikanth Chilukuru: 41:06 Thank you very much.
Operator: 41:09 Your next question comes from the line of Jon Rigby from UBS. Please ask your question.
Jon Rigby: 41:16 Hello. Thank you for taking the call -- taking the question. I think this is for Filipe, actually. I noticed the sort of step-up in contribution from renewables, obviously, with the high electricity prices. And that sort of flows through from your pro forma EBITDA into -- mainly into associates as you've noted. Can you just help and run through the sort of how both the earnings. And then also the cash flow cascade kind of works into your income statement and into your consolidated accounts? 41:51 I'm particularly interested maybe where you're doing refinancing. Does that reappear back in your cash flow statement as a dividend or is it divestment? And just wanted to sort of understand what the allocation and priority of cash flows would be to paying interest versus paying dividends back to yourselves, paying back some of the capital on the loans et cetera. So if this makes sense, some sort of map of how cash flows and earnings were back into your business, if that's possible.
Filipe Crisostomo Silva: 42:35 Good morning, Jon. I don't think what we are doing and will do is different from what we've done with all the associates or what everybody else does. So you have unconsolidated entities currently generating more cash. So that cash goes to pay project finance and OpEx, of course, and whatever is left under the financing agreement, as long as you comply with debt service coverage ratio, then you distribute the cash as dividend and when you use that cash for CapEx, but we will show the numbers gross. So all the cash that comes to Galp comes from in the cash flow statement as a dividend income and CapEx will be gross. So the money goes back into projects for expansion. 43:29 On the P&L, what you see is the share of profits. It's an accounting number, share of profit, that goes on to associates in the P&L. So because we have very long-term funding and the one we've just closed has an eighteen year maturity. We do expect -- depending on power prices, of course, we do expect significant cash flow monies coming in over the next few quarters.
Jon Rigby: 43:59 Yes. Okay, cool. That makes sense. Can I just ask a follow-up question, just on Mozambique. It's really about the onshore project itself and not really about the delays or visibility around that. But just as the -- just sort of at a high level, just as the world is starting to focus very much on Scope 1, Scope 2 emissions around new projects. Is -- there is a dilemma or a paradox with LNG is that Scope 1, Scope 2 can be actually quite high or very high although Scope 3 sort of full lifecycle couldn't be relatively competitive and clearly there are some advantages in terms of clean air where you're using the gas to generate electricity et cetera. Does that present a problem for you in the context of your plans around going to lower emissions -- to net zero in terms of being a participant in that project or is the plans ultimately to physically deal with the carbon that will be emitted as part of the process of liquefying the gas? Thank you.
Andy Brown: 45:17 Thanks, Jon and I'll be asking Thore to follow through. Clearly, our net zero commission position is twenty fifty, a long way off. Clearly, gas, as you know, particularly in the Asian context replaces coal, so it's positive. But we are very focused on what the Scope 1 and Scope 2 emissions of the LNG plant being designed are. So, I mean, Thore, do you want to explain some of the things we're looking at?
Thore Kristiansen: 45:42 Yeah. I will do that. Thank you, Jon. So, yes, actually one of the things that is being looked at as the product now is being revised and we're using this time in order to see how we can optimize it further. One of the things that also then is looked into is how to reduce the CO2 emissions from the plant. And with that in particular mind, what you just mentioned, Jon, so that is one of the factors that is now being put on the drawing board. Thank you.
Jon Rigby: 46:18 Thank you.
Operator: 46:18 Thank you. Your next question comes from the line of Giacomo Romeo from Jefferies. Please ask your question.
Giacomo Romeo: 46:30 Good morning -- good afternoon, actually, and thank you for taking my question. I have two left on my list. And the first one is, if you can talk a little bit more about the size of the Brazilian renewable opportunity and sort of what sort of pipeline beyond the sort of capacity that you announce you see. And the other question still on renewables is, if you can give an update on how the search for the new CEO role is going and when do you expect to sort of have an update on that?
Andy Brown: 47:09 Okay, thank you for the question. Look, the Brazilian pipeline is a significant one. We've announced our participation in two projects of total six hundred megawatts, but we are looking at a much bigger funnel of opportunities there, both in solar and some in wind as well. So no deals done yet, but we continue to look at how we can expand away from that position. 47:35 Look, I can -- we have selected someone to be the new CEO. We haven't gone public on who that is yet. But just to say that that process has gone well. I'm very excited about the individual that we will be able to announce that will take that business to the next level.
Giacomo Romeo: 47:53 Thank you.
Operator: 47:58 Your next question comes from the line of Joshua Stone from Barclays. Please ask your question.
Joshua Stone: 48:05 Thanks. Hi, good afternoon. Two questions, please. Firstly, just a clarification on the dividend again. You mentioned there's going to be some discretionary elements, but you've quantified year-to-date number of four hundred million euro of what you're losing on these temporary services. So would you not be able to know exactly what the number is at year end, just add it back? I mean, a comment on that is, why not change the structure to be linking your dividend to the operating cash flow ex working capital. You might like create more simplicity in the structure. 48:37 And then the second question on the upstream production run rate as you're going through the rest of the year. You mentioned the maintenance backlog is improving, but it looks like quarter-on-quarter volume is looking pretty flattish. Can you maybe just confirm, how much are you losing in production due to this maintenance issue and therefore how much is to play with when we go into next year and thinking about what might come back? Thank you.
Andy Brown: 49:04 Thanks, Josh. I don't want to give any definitive guidance on how we will calculate the supplementary dividend. It will -- we believe it will be partial. We have permission from our Board to say that this will be considered, but no clear mandate on the magnitude of that. When we -- yeah, when we look at our mechanism, we use CFFO because normally managing working capital is quite a bit of hard work in terms of managing stocks and everything else. I mean, this is a distinct one-off that we really couldn't control. 49:41 But actually it not only affects CFFO, it affect net debt. So of both those parameters are affected by this one-off margin account build. But I can't -- I'm not in a position today to give you a definitive calculation method for how that supplementary dividend will be calculated. We'll have to see how the rest of the year plays out with the macro, what our OCF is, how strong the company is at the end of the year before we declare what that supplementary dividend will be. 50:17 I think I'll hand over to Thore to talk a little bit about what we've seen in terms of shut-in production and how much there is behind the pipe there. Thore?
Thore Kristiansen: 50:29 Thank you, Andy. Thank you, Josh. So when it comes to maintenance, it's part of life. That's the natural part of the way we do the business. So also going forward, you have to expect that we will have a periodic maintenance on the different units in all of our operations. Typically, the chartered FPSOs have a ten to fifteen days of maintenance every year. On the replicants, we have a longer but more periodic maintenance. Typically, that is twenty days, but then only every three years. It is done with more force and typically also connecting with the [indiscernible] you have more people to contribute. 51:14 So what I can say is that we expect going forward that maintenance will be more or less as we have guided before and have an impact in the production in the order of around five thousand barrels per day. And that is the best guidance I can give you also going forward, Josh, on that. Thank you.
Joshua Stone: 51:34 Thank you. If I could just follow up, will you say how much the impact is this year so far versus the five thousand barrels a day?
Andy Brown: 51:44 So, Josh, actually, in front of me -- I don't actually have that number in front of me. So, sorry, I can't answer that here now. I can get IR to follow up with you. Thank you.
Joshua Stone: 51:56 Thank you. Thanks.
Operator: 51:59 Your next question comes from the line of Medhi Ennebati from Bank of America. Please ask your question.
Medhi Ennebati: 52:07 Hi. Good afternoon, all. Thanks for taking my questions. Sorry if my questions have already been answered, I have some issues with the connection. But two questions from my side. First, regarding your gas sourcing issues. Can you tell us if you could get some compensation from your insurance as it seems you are not receiving contracted natural gas from supplier or maybe explaining again why you can't get any compensation fees? And given the natural gas price development, should we expect a significantly higher negative impact in the first quarter compared to the third quarter just for us to avoid, let's say, a big negative surprise, please? 52:59And the second question is more about Petrogal dividend paid to Sinopec. So since you didn't pay any dividend in the third quarter, should we then expect two dividends to be paid in the first quarter or you just decided to skip the third quarter dividend? Thank you.
Andy Brown: 53:25 Let me -- thank you, Medhi. Let me answer the first question and I'll ask Filipe to do the second and third. Now, we are indeed -- we are in intensive negotiations with our suppliers, let's say, to try and mitigate any impacts. There are some penalties. But I have to say that there are very small fraction of the difference between the spot price and the market -- and the price we have actually secured for those volumes. So that really doesn't compensate the difference. 53:57 But indeed, it is a discussion we have and we are obviously working really hard to make sure that there is no interruption and we're able to supply our customers without missing a beat. So I can't give you any numbers on how much we would recover from any lack of supply. I can say, we are in active discussion with them to make sure that they do supply. 54:25 So, Filipe, second and third questions?
Filipe Crisostomo Silva: 54:30 Hi, Mehdi. Your question is on working capital in Q4 and how does TTF change that, if I understood correctly?
Medhi Ennebati: 54:41 No, the question was about Sinopec.
Filipe Crisostomo Silva: 54:45 Okay. Yes, that one I got. Okay. So on Sinopec, what we have agreed with Sinopec way back then is that free cash flows after paying all CapEx are distributed out thirty percent, seventy percent. So depending on the free cash flow this year and next and the following years, the role is quite straightforward. So this year, we are expecting a payment. So within fiscal year twenty twenty one, say, one hundred and twenty [Technical Difficulty] depending on what the macro will do. And next year, it's not necessarily payable in Q1 is, we'll look at what the cash flows for twenty twenty two look like and thirty percent of the free cash flows will be distributed out sometime during next year.
Medhi Ennebati: 55:46 Thank you. And the first quarter payment to Sinopec, should we expect it to be back to normal, thirty million euro, forty million euro?
Filipe Crisostomo Silva: 55:59 Again, it is not necessarily payable in the first quarter. So we paid the Galp shareholders in the second quarter and we discuss with Sinopec depending on what the cash flows or CapEx commitments, the best timing of payments. So we have quite flexibility on timing of payment. But within twenty twenty two, then it should be about thirty percent of the free cash flows.
Medhi Ennebati: 56:28 Understood. Thank you.
Filipe Crisostomo Silva: 56:30 Thank you.
Operator: 56:31 Your next question comes from the line of Michele Della Vigna from Goldman Sachs. Please ask your question.
Michele Della Vigna: 56:38 Thank you. It's Michele here. Two quick questions, if I may. The first one, I just wanted to check that Coral FLNG because it's offshore would not be in any way affected by the security concerns that are lingering in Mozambique? 56:54 And then secondly, I was wondering if you had a chance to start looking at your business through the lenses of the EU green taxonomy and if you have an early indication of what percentage of revenue and CapEx will be taxonomy compliant for you. Thank you.
Andy Brown: 57:15 Thank you, Michele. So on the Coral security issues, largely, this is well offshore and therefore, we believe outside the current insecurity, clearly, shore bases exist, but in places which where I think security is better guaranteed. So at this stage, we do not have any specific concerns around that, but we need to stay alert of course. 57:44 On the EU taxonomy, I think it's early days for us to make any clear indications to the market about the proportion that would fall under that requirement. So at this stage no update on the EU taxonomy.
Michele Della Vigna: 58:03 Thank you.
Operator: 58:08 Thank you. Your next question comes from the line of Jason Kenney from Santander. Please ask your question.
Jason Kenney: 58:16 Thanks. Going back to Brazil and maybe a couple of the earlier questions, is the Brazil renewable asset base going to be consolidated or non-consolidated? We treat it differently from the Iberian renewable business. And what kind of CapEx do you think is needed to build out that Brazil solar twenty twenty five? And if I may, obviously, you are looking at asset rotation in renewables and you've got this targeted twelve gigawatts by twenty thirty. Am I best to assume around fifty percent of that would be net capacity for Galp twenty thirty? Thanks.
Andy Brown: 59:00 Thank you, Jason. I mean, I think, firstly, the way we are actually approaching Iberia as well, so the 1 gigawatt we've essentially added to the original ACS deal plus Brazil is that, in the first instance, we develop it. And then only after the COD, when it's online, that we will sell down and deconsolidate it. So that is our current modus operandi. And clearly, we will also finance these projects. So I think that's the way we will go about those projects. The CapEx -- renewable costs have gone up a little bit globally in the last six and nine months. But -- yeah, I'm not -- I won't give you any clear guidance, but anything between, what is it, five hundred thousand euro and seven hundred thousand euro per megawatt would be in the ballpark of how much it costs to develop these projects. But we hope to get sixty five percent, seventy percent or more financing as well. So the equity contribution is far lower. 60:17 And I think that also answers the asset retail -- yeah, the twelve gigawatts. yes, I think we will continue to -- we talked about essentially a dilution of fifty percent in our portfolio on the twelve gigawatt position. And we maintain that. I think this is all going to be based on opportunities on being able to maintain the deconsolidation and when we can rotate it. So the timing of it, when we can rotate those assets that we've derisked them significantly, that we can sell down to a strategic investor in order to leverage up our own returns. So I don't want to give any firm indications when we're going to do it, how we're going to do it. But I think it's about a discipline that we want to instill within the renewable business about how we make sure that we do get and have an opportunity to get double-digit equity returns on our renewable investments.
Jason Kenney: 61:13 That's great. Just to clarify the five hundred thousand to seven hundred thousand was dollars?
Andy Brown: 61:24 Euros.
Jason Kenney: 61:26 Euros. Okay. Thank you.
Operator: 61:30 Your next question comes from the line of Ignacio Domenech from JB Capital. Please ask your question.
Ignacio Domenech: 61:38 Yes, good afternoon and thank you for taking my questions. I have two. My first question is on refining and the positive evolution of refining cash costs. Can you comment on what has been driving this trend and where should we see refining cash costs going forward? 61:56 And then my second question is on renewables. I think you mentioned generation was impacted by a transformer upset. So my question is, when do you expect this issue to be reverted and if you would expect any compensation to this impact? Thank you.
Andy Brown: 62:18 So let me start with the transformer issue. Clearly, this was part of the legacy in the joint venture we had with ACS. We've had two hundred megawatts that have been out of capacity. We have -- we're on the verge of putting sixty five megawatts back in online to compensate for that, essentially transformer that was allocated to a future project we've now retrofitted. 62:44 Clearly, at this time of the year and going forward with lower solar radiation, that really helps mitigate, if not totally mitigate the losses we may get in the fourth quarter. But we have new transformers arriving to installed in just in the new year, early months of next year to have us completely ready to go once the sun comes back in Iberia for Q2 onwards. 63:11 Now when it comes to refinery cash costs, we've talked about driving down to one point seven zero dollars per barrel. Clearly, safety comes first and costs come second as we continue to emphasize to our people on the ground. But, Thore, do you want to talk a bit about the cash costs and what we might see in Q4, particularly with also the work we need to do on the furnace?
Thore Kristiansen: 63:39 Yes. Thank you, Andy. You're right. So the overall ambition has been to drive down the cash cost and -- in the area of slightly below two dollars per barrel. However, as you know, we have had an operational issue in the atmospheric distillation unit, which we will need to repair. The repair is actually ongoing as we speak. That will impact our cash cost for the fourth quarter and our current best estimate is that we will be spending around ten million dollar to twelve million dollar on those repair that will translate into the cash cost. So, I guess, the best guidance I can give you today is that the fourth quarter you will see it around three dollar per barrel. That's an indication for what the cash cost will be for the fourth quarter. We, however, believe that, by this quarter, we should be back into normal operation unless we are getting any surprises during this repair work. So all work is that this is completed during this quarter. Thank you.
Ignacio Domenech: 64:50 Thank you.
Operator: 64:53 Your next question comes from the line of Raphael DuBois from Societe Generale. Please ask your question.
Raphael DuBois: 65:02 Hello. Thank you very much for taking my questions. I have two left. The first one is still about this working capital buildup. Assuming that the TTF price stay where it is now, can you give us a feel for what the working capital buildup could look like in Q4? And then I have another question about renewables. You talk about sixty million euro of pro forma EBITDA. Can you tell us what utilization rate you assume as well as solar capture price that you assume as well? Thank you.
Andy Brown: 65:44 So, Can I ask Filipe to answer the first question?
Filipe Crisostomo Silva: 65:53 Raphael, compared with what we have on the balance sheet on September thirty, we have calendar twenty twenty two TTF was trending at about fifty seven euros. It is currently at fifty four euros I think. So given what's -- where we are today and where we stand, I would say it should get a bit better, but it is incredibly volatile. So it's very hard to call the shot on what December thirty one. And this is a daily mark-to-market number. It varies every day. Thank you.
Raphael DuBois: 66:34 Thank you.
Andy Brown: 66:36 Hi, Raphael. Yeah, just on this renewables question, a moment in Q3 we enjoyed about one hundred and ten euros per megawatt hour as a solar capture price. Clearly, our generation capacity comes down in Q4 as we get less on. But we will have about an extra one hundred megawatt available online to enjoy whatever sun we do get in the fourth quarter. So that's really -- twenty eight million euros was the pro forma EBITDA for the Q3 to give you an idea of what kind of run rate. Clearly, we would have the extra twenty percent that would have been somewhat higher. So that's the current position we're in.
Raphael DuBois: 67:24 Okay. Thank you very much.
Operator: 67:27 Your next question comes from the line of Matt Lofting from JPMorgan. Please ask your question.
Matt Lofting: 67:35 Hi, thanks for taking the questions. Two, if I could, please. First, just I wanted to come back to the operational outlook in pre-salt Brazil and the earlier comments. Could you just share a sense of how the operational backdrop has evolved since perhaps the update you provided in the summer, where the sort of the maintenance backlog sits today compared to the middle of the year? And how long you expect it to be able to work through before you get back to the normalized five thousand barrels a day plus minus of annual maintenance effect, Thore, I think you referenced earlier? 68:15 And then secondly, just on price realizations on the upstream, we've seen a wider average oil and gas realization discount to headline Brent in the last couple of quarters. I think you've highlighted softer pricing or more competition into Asia on the Brazil exports. How do you see the outlook there looking into twenty twenty two? Is this something that you still expect to be temporary and ultimately revert or something that could become more of a medium-term structural issue? Thank you.
Andy Brown: 68:47 If I can just start and I'll hand over to Thore to add on the Brazilian outlook. And we did a quite a full analysis of what we produced this year versus what we'd hope to produce this year and to try and understand what the key issues for the shortfall were. I mean, what we found was one of the biggest thing is just how it takes a lot longer to hook up wells now, whether they are new wells or they are workover activities that need to be done. 69:17 We had also -- and we've mentioned this issue about the riser issues and tests we've been doing on the corrosion that -- stress corrosion cracking and corrosion of risers. And Petrobras has done a lot of work on that. And that has an impact of a couple of points of availability at the moment and for a short time to come. And then as the overall availability level of the various FPSOs that Thore was alluding to. 69:48 And then lastly, there's a reservoir performance. And I know a lot of people are being concerned about. What we found is that reservoir actually performed slightly better than we expected this year. So I think there's some good news below the wellhead in terms of the reservoir itself. It's these compounded issues that we have above the wellhead that I think that we -- that Petrobras is working through. Any more to add, Thore?
Thore Kristiansen: 70:13 No, I think, Andy, on the maintenance, I think you covered it well. It's actually to sum it up, fifty percent of the shortfall we have seen this year is due to delays in well connections and then there's another twenty percent that is related to delays in well workover. So that really is capturing the majority -- it actually has been slightly positive. What has happened on the issue of stress corrosion, we -- the inspection that was done over the summer actually proved to be better than anticipated. So that meant that a few producers could be put back in operations before expectations. So hopefully and crossing fingers, that is now going forward in a good way. The long-term solution, however, that will take some time because that will require new materials to be qualified for that issue. 71:07 When it comes to the price realization, the market, that's very much dependent on the situation in China. We have seen that the Chinese market has been somewhat more difficult in the third quarter. So the discounts has -- had to be a little larger in order to place the volumes. Let's see what the role of the independent refiners in China will be going forward. That has a direct impact on that market and the outlook. So we will stay with the sort of same guidance that we have given you, but expected to be, for this quarter in the area of eight dollar to ten dollar per barrel less as a discount overall. 71:52 And that's factored in, which is very important, what Andy also said in his speech, in the beginning that our gas prices in Brazil for the associated gas is actually capped at fifty five dollar. So there's limit to how much we can get on the gas side. However, that ends by the end of this year. So from next year, we will actually dispose and handle the natural gas -- associated gas ourselves in Brazil and that should give us some more -- capturing higher margin on that. Thank you.
Operator: 72:35 Your final question comes from Anish Kapadia from Palissy Advisors. Please ask your question.
Anish Kapadia: 72:43 Hi. Yes, just had one question remaining, I think you touched on it slightly. But we are seeing evidence of quite strong inflation and it could be quite persistent inflation in the market. And I'm thinking about that both from the raw materials side of things, but also the potential for higher inflation and higher interest rates going forward. So I was just wondering if you could cover the impact of that, in particular, on the renewables business of those higher input costs coming through, but also from a financing perspective and a returns perspective of how you think the higher inflation and higher interest rates could potentially that business? Thank you.
Andy Brown: 73:29 I'll ask Filipe in a second to talk a bit about interest rates. I think one of the benefits of our joint venture that we secured with ACS was locked in construction costs going forward. So we've largely derisked, particularly with the two point nine gigas that we have in that particular deal. But what's interesting about these higher costs and perhaps the risk of higher interest rates is, you also see a bit of a slowdown in people building more capacity. And as a result, that feeds into what we also see, particularly at the moment, is clearly pretty high solar capture prices. So I think these things have their own balance to them. We have a pretty strong position in that, we've derisked the construction costs in our deal with ACS. 74:23 But, Filipe, do you want to talk a bit about the interest rates and how exposed we are to that?
Filipe Crisostomo Silva: 74:30 Anish, because we project finance, the banks ask us for a very significant proportion of the funding to be swapped fixed rate. So we're fairly hedged on the funding cost. We're fairly hedged through the EPC contracts we've signed with ACS. We are seeing unit CapEx prices going up. So everything is becoming more expensive, access to land, interconnection, equipments, actually quite a number of auctions took place recently. A number of bidders were betting on declining CapEx numbers and they have bid very aggressively. 74:25 So also to be seen how many of those projects will actually get funding and get off the ground. So we'll see less projects being built, more challenge for those that are not hedged. Having said this, we are seeing a lot of inflation on the price of the electrons that we see. So, net-net, this is not necessarily bad for the projects in the short term. In the longer term, well, we will see. But Galp is mostly hedged. Thank you.
Anish Kapadia: 75:50 Thank you
Otelo Ruivo: 75:53 Okay. I think this ends our session. Thank you for your time and for participating. We hope you find this update useful. As always, the Investor Relations team is available for any additional clarifications. We will be on the road again from November onwards. So I really hope to meeting you in person soon. Have a great day and a productive earning season.
Operator: 76:19 That does conclude our conference for today. Thank you all for participating. You may now disconnect.